Operator: Good morning, and welcome to EQB's Earnings Call for the Fourth Quarter of 2025. This call is being recorded on Thursday, December 4, 2025. [Operator Instructions] It is now my pleasure to turn the call over to Lemar Persaud, Vice President and Head of Investor Relations. Please go ahead.
Lemar Persaud: Thank you, Ludy, and good morning, everyone. Your host for today's Q4 results call are Chadwick Westlake, President and CEO; and Anilisa Sainani, CFO; and Marlene Lenarduzzi, CRO. Also present for the Q&A session is Darren Lorimer, Group Head of Commercial Banking. After prepared remarks, we will open the lines for questions from our prequalified analysts. Please note that while we are excited about the acquisition of PC Financial, today's call, including Q&A session, is intended to be focused on the Q4 and full year EQB results. For those on the phone lines only, we encourage you to also log into our webcast and view our quarterly results presentation, which will be referenced during our prepared remarks. On Slide 2 of our presentation, you will find EQB's caution regarding forward-looking statements, which involve assumptions that have inherent risks and uncertainties. Actual results may differ materially. I would remind listeners that all figures referenced today are on an adjusted basis where applicable, unless otherwise noted. With that, I will now turn the call over to Chadwick.
Chadwick Westlake: Thanks, Lemar, and good morning. I appreciate everyone joining us during a busy earnings day and so soon after yesterday's call. To stay on point for this call, I'm pleased to have fiscal 2025 behind us. It was a difficult year and one of significant change for EQB. That chapter is now closed, and our incredible leadership team is energized and focused on tomorrow. There were, however, several notable accomplishments. First, while deemphasizing certain areas due to less attractive economics, we still achieved 10% year-over-year growth in total loans under management on the back of very strong 36% year-over-year growth in our off-balance sheet CMHC insured multi-unit residential mortgage business. Second, EQ Bank, our crown jewel, continued to shine bright, achieving 18% year-over-year growth in customers and 10% growth in deposits, with deposit balances ending the year at nearly $10 billion. Third, we launched our small business banking offering in October, bringing real competition and positive change to an underserved market that deserves better options. This offering has all the Challenger features you would expect, including fully digital account opening, a competitive interest rate, business GICs and no monthly fees. I'm pleased to report that at the end of October, we were already at $140 million in business deposits. That's before dialing up marketing efforts. Finally, we were named the Top Bank Brand in Canada by the Financial Times' The Banker magazine, citing our status as best positioned to grow market share. We have had plenty of moments of change in our history, and each time we emerged even stronger. I believe that is precisely how EQB is positioned now, ready for our next and most significant chapter of growth. I want to thank our deeply dedicated Challenger employees for their tireless work over the past year. Everyone is part of this team because they believe in our purpose and our ability to execute. I believe that applies to our longstanding and prospective shareholders as well. This morning, I have a few key observations on my first 100 days as CEO. When I rejoined EQB in late August, I set out with a clear mandate from our Board to develop a future focused plan that concentrates capital and talent at the point of highest return, with the goal of achieving our long-term potential. With my leadership team, we've made a clear-eyed assessment of our competitive strengths and growth opportunities, strategies and supporting cost structure. There were no preconceived notions, no sacred cows, only a pledge to make the tough decisions and execute with velocity. This resulted in a few early actions. First, I spent a lot of time traveling across Canada, to meet hundreds of employees, partners, brokers and shareholders. It is important to understand what people love about our company and where we can do better. What I found was a workforce that is energized as ever to win, customers that love our products and services and conviction in our ability to take our Challenger to its full potential while returning to our traditional ROE profile of 15% to 17%, which is important to our shareholders. I also said coming into this job, we have return to efficiency as a competitive advantage. We would complete our product shelf and move back to our industry-leading ROE profile, even with the competitive disadvantage of standardized capital treatment. I've also learned more about important areas for growth that matter for Canadians. Importantly, for example, our de-cumulation business. This portfolio increased 36% last year and remains poised to continue delivering double-digit growth, supported by market share gains and demographic trends, including the movement to age in place. Second, my team dug deep into the fundamentals of our bank to reduce pressure points, specifically focused on margin, efficiency and credit. For margin, we took a closer look at our funding costs. The intention of our bank is still to provide Canadians with a highly attractive everyday interest rate. However, we recognize that with the Bank of Canada moving interest rates down another 50 basis points in the quarter, we have to more dynamically adjust our interest rate offering. It's all about striking the right balance to ensure we are continuing to grow profitably while expanding EQ Bank deposits to become the largest part of our funding stack. With the build-out of our EQ Bank product shelf, we will attract more Canadians to our bank and grow share of wallet, a proven strategy to capture more value from our customer relationships and deliver greater value to our customers. A win-win situation. The outcome for Q4 was progress with NIM expanding 4 basis points sequentially to 2.01%. On efficiency, we took decisive action. And while we cannot control the macroeconomic environment, we can control our costs. This resulted in the first-ever restructuring charge for EQB. Anilisa will speak to more detail shortly. The benefit is not in our Q4 results as it was executed at the end of October, but it will become evident in Q1 results. We needed to focus our efforts on the highest-return initiatives with clear benefit to earnings, to drive improvements in efficiency and positive operating leverage. With respect to credit, PCLs in Q4 might be higher than some expected, but our intent as a refreshed team was to dig deep into our lending book. We carefully considered macroeconomic variables for Moody's to inform our forward-looking indicators, and we ensured we are appropriately provisioned for all current risks. The good news is, assuming no significant changes or deterioration from our forward-looking indicator macro drivers, we enter fiscal 2026 from a position of strength. Marlene will comment on credit further in her remarks. Our businesses are well positioned to deliver growth and resilience in credit despite the challenging macroeconomic backdrop. And third, we spent time thinking through our strategic focus in the market. Contextually, we can all agree that Canada is one of the most profitable banking markets in the world, but there are millions of underserved Canadians and a real need for greater innovation and stronger competition to the incumbent biggest banks. We are here to bring that change, competition and innovation. We are here to disrupt and become a better everyday option, focused on Canadians. Our interest is in building a better banking system, offering unique products, including many low and no fee options with EQ Bank. And we championed the concept of Challenger with our trademark brand literally being Canada's Challenger Bank. Our addressable market is significant, and our growth opportunities are tremendous. All at the same time, we remain significantly undervalued. I've always believed our goal should be to focus on doing a few big things well, rather than be everything to everyone. That is what it means to be a Challenger bank at its core. Our PC Financial acquisition and Loblaw partnership are going to be game changers. This is anchored in purpose and a lead towards our full potential as the largest Challenger in Canada. That should be clear from last night's call. 2025 was a challenging year for housing as the market was characterized by elevated levels of economic uncertainty following the trade dispute with the U.S., tariffs, rising unemployment and lower consumer confidence levels, even as the Bank of Canada cut interest rates. There is strong structural demand in Canada for homeownership and supply issues remain. Looking into 2026, we are cautiously optimistic we will see a rebound in housing. We think it's less of a question of if, more so when will the market recover. When it happens, you can expect it to result in revenue growth given that over 60% of our on-balance sheet loans are single-family residential. And with a 13.3% CET1 ratio, we have the capital to fund this growth. To get the market really going, we will need to see the combination of lower rates, lower unemployment, which we saw recently, and better GDP growth. We have already seen the Bank of Canada respond by aggressively lowering interest rates. And finally, with the 2025 Federal budget focusing in on infrastructure investment, we are hopeful we can see positive impacts on GDP growth. We think commercial loan growth will follow confidence in the broader economy, and our pipeline now is twice what it was this time last year, with a very busy start already to fiscal 2026 across all segments. This includes our multiunit residential portfolio. To support the supply of affordable housing to Canadians, the government announced an increase in the CMB issuance limit to $80 billion, up from $60 billion, in the latest Federal budget. This increase, which is tied exclusively to multiunit housing across Canada, will benefit EQB. Combining all of this, with OSFI's engagement on reducing restrictions on capital to support business investment, a move which should directly impact our bank, I remain excited for the future of EQB. As part of that future, I'll offer a few strategic comments. One, we're focused on winning in our core franchise. We are reviewing and driving more changes to ensure we hold the #1 position in single-family lending. In 2025, we achieved record broker satisfaction scores in our uninsured business, partly driven by recent technological investments and improved customer retention. We are also focused on expanding origination partnerships. Being the leader in reverse mortgages is a priority, and we are not standing still. This past Monday, we launched even more enhancements to increase our competitiveness while maintaining strong risk management. We remain the market leader in CMHC insured multi-unit residential and operate attractive and well-run commercial businesses as a choice lender to other lenders, a commercial real estate alternative lender and top provider of services to credit unions. Finally, the growth and sustainability of our diversified funding stack anchored in EQ Bank will be critically important as we intend to get the full attention it deserves as we bring focus to our priority lending areas. Two, we're completing our product shelf and taking EQ Bank to its full potential. I've said before the gaps here are payments and [ wealth ]. We are addressing payments with PC Financial. All of this will be plugged into our world-class EQ Bank platform. I want to be clear, we're focused on delivering a successful integration, which will allow us to achieve our full value from this historic transaction. But the remaining ingredient of wealth will remain a priority. Three, we're expanding our capabilities and challenging the market. We will continue to leverage our digitally-native platform to drive best-in-class efficiency. This will be achieved through the rigorous expense discipline we introduced in Q4 to invest in a few big areas and ensure that, as the bank grows, we invest significantly, but also at pace with revenue growth. We will grow our capabilities to reshape the market by investing in AI enablement, championing our technology and working with partners, government and regulators to enhance competition. Our acquisition of PC Financial advances our strategy here as well as they're bringing best-in-class personalization capabilities and tools and a 300-plus employee workforce with complementary skills to drive product innovation. With the addition of their pavilions, it offers us a unique edge to serve millions of Canadians and meet them where and when it's most convenient for them. Finally, given the passing of the's Federal budget, we are one step closer to the creation of a made-in Canada consumer-driven banking system. EQB is uniquely positioned for this new era as a long-time supporter of open banking. We look forward to sharing more of our strategy at our 2026 Investor Day. Moving to the next slide where we present our medium-term financial objectives. You will see that we are reaffirming our objectives, so this should be familiar to everyone. We have better aligned our categories to be more comparable to peers. For 2026, our outlook excludes the impact of PC Financial. And I would expect ROE to improve materially from the 7.5% we reported for Q4. What that looks like is highly dependent on the macroeconomic backdrop, but we feel, based on our estimates today, that could look something like approaching 12%, increasing even higher later in fiscal 2026. Diluted EPS growth could land within our medium-term range of 12% to 15% growth. We expect to see improvements in our efficiency ratio and be within our medium-term range of flat to slightly positive operating leverage and exit next year with strong capital. We expect to continue delivering on our very strong dividend growth projection. Anilisa and Marlene will provide a more specific outlook on key income statement line items in their sections. Now over to Anilisa to go through the 2025 full year and Q4 results, her first quarterly call as the CFO of Canada's Challenger Bank, and I could not be more thrilled and excited to have Anilisa in this chair.
Anilisa Sainani: Thanks, Chadwick, and good morning, everyone. As a reminder, my comments will be on an adjusted basis, and you can find a summary of these adjustments on Slide 27 of today's presentation. Starting on Slide 9 for a review of the fiscal 2025 results. Operating environment headwinds, including a soft housing market and rising unemployment, weighed on our results. Diluted EPS for the year was $8.90 and return on equity was 11.3%, both reflecting higher provisions for credit losses. In addition, higher expenses and investments also impacted full year results. Against the backdrop of more modest revenue growth, operating leverage was negative 12.5% and the efficiency ratio increased by 570 basis points. Moving to Slide 10. Diluted EPS for the fourth quarter was $1.53, and ROE was 7.5%. The decline in fourth quarter results as compared to last year reflected lower revenues, expense growth and higher provisions for credit losses. Compared to last quarter, pre-provisioned pretax earnings were down a modest 1%, with higher provisions for credit losses, partially offset by NIM expansion and contained expenses. We announced an increase in the quarterly dividend to $0.57 per share, up from $0.55 last quarter and $0.49 last year, as we continue our strong track record of dividend increases. We also repurchased a record 731,000 shares in the quarter as part of our strategy to return capital to shareholders. And we expect to continue buybacks next year. Before we get into key drivers, a note on the restructuring program on Slide 11, for which we recognized a final pretax charge of $92 million. The program sharpens our focus on top growth priorities, ensures efficient capital allocation and manages third-party spend and other costs with discipline. Going forward, we expect approximately $45 million in annual expense savings in fiscal 2026. These savings will be reinvested in continued strategic growth initiatives as we remain committed to investing in our future and maintaining our robust risk management framework. As a result, we expect total expense growth to be in the low single digits next year, inclusive of the restructuring program savings. We also expect to deliver positive operating leverage with a low 50s efficiency ratio, with additional upside as the revenue environment picks up. Now I'll break down the results of the quarter, starting with the balance sheet on Slide 12. As a reminder, we look to loans under management or LUM as a key performance metric as we are the market leader in ensuring multi-unit residential mortgages. Our LUM increased 10% year-over-year and 1% sequentially to $74.5 billion, with continued strength in our multiunit residential portfolio, solid growth in the context of a difficult economic environment. And as a reminder, we intentionally pulled back from certain portfolios. For example, insured single-family residential and some equipment financing portfolios, as we managed overall risk-adjusted returns. Conventional loans, which are LUM excluding off-balance sheet loans and insured single-family residential portfolios and are the primary contributor of net interest income, grew 7% year-over-year and 1% sequentially, reflecting continued growth in our de-cumulation business and uninsured mortgages. Looking forward to 2026, we expect growth in LUM in the high single digits to low double digits. Turning to deposits. Balances increased 9% year-over-year and 1% sequentially to $36.1 billion, reflecting strong growth in EQ Bank. Growth in EQ Bank's demand deposits was strong, increasing 38% year-over-year and 3% sequentially. Within that portfolio, growth in the notice savings product was strong, while growth in payroll deposits moderated in the quarter as we adjusted interest rates in response to Bank of Canada cuts. Wholesale funding was relatively flat in Q4 as repayments of covered bonds were offset by increases in our deposit note program. Wholesale funding remains an important source of our diversified funding stack and it expands our investor base. At the same time, we are focused on our funding mix sourcing a higher percentage from lower-cost sources, including deposits, which are sensitive to management actions and can be used to manage margins more actively. Overall, we are pleased with our mix progression. Turning to NII on Slide 13. Net interest income was $265 million, down 2% year-over-year and up 1% versus last quarter. Net interest margins were down 8 basis points versus last year, but expanded 4 basis points sequentially. The sequential margin expansion primarily reflects lower funding costs and a shift towards higher-yielding uninsured mortgages, partly offset by higher liquid assets and lower prepayment income. Looking forward to 2026, we expect margins to remain around the 2% plus level. Turning to Slide 14. Noninterest revenue of $43.5 million was down 15% from last year and 9% from last quarter, largely due to hedging activities and also lower gains on sale from securitization activities as volumes normalized. Turning to Slide 15. Noninterest expenses increased by 11% compared to last year. Areas of increase were concentrated in our Challenger staff and growth-related investments. In addition, higher premises costs played through the second half of this year as we moved into our new Toronto headquarters this past spring. As a reminder, these occupancy costs will have a full year impact in 2026. Compared to last quarter, both noninterest expenses and the efficiency ratio were largely flat as we thoughtfully managed controllable costs. We are pleased with this result considering the timing of the restructuring activities being late in the quarter and especially in the context of what is normally a seasonally higher expense quarter. As mentioned, overall, we expect low single-digit expense growth into 2026. Finally, turning to capital on Slide 16. Internal capital generation was offset by the impact of the restructuring program, and the bank's CET1 ratio was flat at 13.3%, well above target and regulatory minimums. Our capital allocation approach continues to prioritize reinvestment in organic growth, steadily increasing dividends and the maintenance of capital flexibility to pursue strategic inorganic growth. I will now turn the call over to Marlene to take us through risk.
Marlene Lenarduzzi: Thank you, Anilisa, and good morning, everyone. I'll start on Slide 18 with an overview of allowances for credit losses. Against the continued uncertain macroeconomic backdrop, credit losses were elevated in Q4 2025. Higher performing PCLs in personal and commercial lending were primarily driven by deterioration in the forward-looking indicators. This was partially offset by a release in equipment financing due to improved credit quality on the remaining [indiscernible] portfolio. By business, PCLs were $7.8 million in personal, $11.8 million in commercial and $0.2 million in equipment financing. Along with PCLs on impaired loans, realized losses and write-offs, our ACL rate increased to 41 basis points, up 8 basis points sequentially and 9 basis points year-over-year. This was primarily driven by an increase in performing allowance, leaving the portfolio appropriately provisioned. We will continue to manage our allowances as the macroeconomic conditions evolve. Turning to Slide 19. Impaired PCLs were 30 basis points, up 11 basis points sequentially and driven by increases across all businesses. On single-family residential, we continue to experience weakness stemming from larger loans in areas of Toronto and surrounding suburbs where residential real estate prices have declined significantly from their peaks. This does not appear to be a systemic issue across the portfolio. In commercial, provisions were primarily driven by existing longer-standing impaired loans. The increase reflects deterioration in values and elongated resolution times. And finally, increased provisions in equipment financing are driven by continued downward pressure on asset values. Turning to Slide 20 and a discussion of gross impaired loans. Macroeconomic conditions have contributed to an increase in gross impaired loans of 7% quarter-over-quarter to $871 million. Gross impaired loans and personal lending increased to $368 million this quarter, a 4% increase from Q3. This was largely driven by continued credit migration. On the positive side, however, early-stage delinquencies are trending positively over the year. Gross impaired loans in commercial lending were up quarter-over-quarter, primarily driven by one commercial loan where a provision is not currently required. We are seeing stability in equipment financing as impaired loans increased only 3% or $1.4 million relative to last quarter. Now I'll provide some thoughts on how I see credit evolving in 2026. The impacts of the 275 basis point reduction in the Bank of Canada's overnight rate since recent peaks are starting to work their way through the economy, and we see signs of credit improvement in the portfolios. We are also encouraged by the recent Federal budget announcements, which we expect will contribute to greater economic growth and improved market sentiment that will benefit performance in the latter half of 2026. On single-family residential, we are seeing some improvements with lower early-stage delinquencies. However, we expect that we'll continue to operate in an environment of elevated global macroeconomic uncertainty in fiscal 2026. On the commercial side, resolution time lines continue to be long. These loans tend to be larger in size and there could be noise within any given quarter. In our equipment financing business, we are seeing the credit benefits of repositioning towards prime and the deemphasis on long-haul trucking originations, resulting in improved credit performance. Having said this, we should be cautious that this outlook is highly dependent on macroeconomic conditions and based on the expectations that we will avoid a deep recessionary scenario. In terms of PCL expectations, I would expect more relief in the second half of the year. Despite the headwinds of this past year, we remain confident in the credit quality of our lending portfolios and our prudent approach towards managing risk through the cycle. And with that, I'll turn it back to Lemar for the Q&A portion of the call.
Lemar Persaud: Thanks, Marlene. [Operator Instructions] With that, operator, can we have the first question from the line?
Operator: Your first question comes from John Aiken with Jefferies.
John Aiken: Marlene, thanks for the color on the commercial portfolio ex-equipment financing, it's what I'd like to focus in on though. You had mentioned that the incremental provisions in the quarter related to loans that were previously classified as impaired. Do you have any sense in terms of how long the process will be for resolution until you can actually get the -- get these files off your desk?
Marlene Lenarduzzi: Yes, it has been longer as we've said in the past, and it's approximately taking anywhere between 12 to 18 months. It can take a while to resolve.
John Aiken: And then just as a follow-on, Chadwick, in terms of the strategic review that you've done since you came back onboard, can we expect to see any changes in terms of the composition of the commercial portfolios?
Chadwick Westlake: Well, we have an excellent commercial business. When you think of the commercial bank, over 80% is insured and our priority has been the CMHC insured multi-unit as our top focus and being a #1 alternative CRE lender. All those principles will stay the same. And Darren Lorimer, our Group Head of Commercial Banking, is just exceptional. And he's here, and I don't know, Darren, if you want to add any other additional comments.
Darren Lorimer: Yes. We continue to have a high level of conviction that we're going to see strong CMHC-insured lending growth into next year, both on the term and the construction side. We have great capabilities there. When you look ahead in our CMHC construction, most of that is based on commitments that we already have in place. So we have good visibility into that. And we expect also to see an improvement in the uninsured commercial real estate lending as well. We're starting to see some early stages of growth there first -- the last 2 or 3 months, our pipeline has started to grow. I wouldn't want to extrapolate that over all of next year, but I think it's a good sign nonetheless.
Operator: The next question comes from Gabriel Dechaine with National Bank Financial.
Gabriel Dechaine: I would like to ask about the credit stuff, of course. And get maybe a bit more specific on your outlook. And I guess, generally, you expect the phase of -- or the pace of PCLs to moderate over the course of the year. That's pretty consistent with what I'm hearing from other banks. But like where -- like if we look at the impaireds, is this a high watermark and it grades down? Or are we going to be stuck at this level in the residential mortgage portfolio specifically?
Marlene Lenarduzzi: So I would say we are continuing to see elongated resolution times even in the residential mortgage portfolio where it can be 6 to 12 months to resolve. What we are encouraged by, and we show that in the graph in the appendix, is that the early-stage delinquency in that portfolio has been moderating, and you can see that decline over the year. Maybe a little bit of fluctuation quarter-to-quarter, but it's on a general downward trend. That will eventually result in lower gross impaired loans. And we even see the growth in gross impaired loans slowing quarter-over-quarter, if you look over the last 6 to 8 quarters. So I don't have a crystal ball, of course, but I would say that all of those factors lead us to believe that, towards the end of the second half, we'll see those gross impaireds come down.
Gabriel Dechaine: Okay. And the -- I think it was $12 million of impaired PCLs in the resi mortgage portfolio. How much of that was on new impairments? And I don't know if that is actually still the case. How much of it was on previously impaired loans where you're finding yourself with a longer resolution, you're going to pay someone on [ Mobile On], pay their property taxes, whatever, or maybe not [ Mobile On ] this time of the year, but you know what I mean.
Marlene Lenarduzzi: I would say when I look at that portfolio, the impaired portfolio in SFR, a lot of it is still stemming from the segments I've been talking about for several quarters. It's the GTA suburbs, it's in that 2022 vintage. And those are -- and if you look at our formations in that portfolio, which we also provide to you, the formations are also coming down as well. So the formations represent the new that's coming in. And yes, so -- but largely out of that $12 million, a large chunk of that, more than half, is related to that segment that we continue to monitor and provide against. And we feel that we're appropriately provisioned.
Gabriel Dechaine: So new formations from the same area codes and vintage, not top-up provisions, that's my terminology, but it's not that?
Marlene Lenarduzzi: Part of it is top-up. Yes, there is a -- it's a mix of top-up and new formations.
Gabriel Dechaine: Okay. Now as far as the cost savings go and thank you for the clarity on the expense target, the growth target and all that. And I guess, should I interpret that the cost savings emanating from that restructuring that's all benefiting the bottom line with no reinvestment stuff? I know you got to reinvest in your business. But just from a -- if we ring-fence this particular number, that's pure cost savings to the shareholder, yes?
Anilisa Sainani: Yes. Thanks for the question, Gabe. You would have already seen the discipline come through this quarter, but you're quite right that the bottom line, that $45 million I was talking about in the subsequent reinvestment, that will play through 2026. You can expect to see the reversal in the expense growth trending right from the get-go. You're seeing it now, and you'll continue to see that into Q1.
Gabriel Dechaine: Okay. Great. And then the last one I've got here, the PC Financial. Just a follow-up, I didn't get to ask yesterday, I think of asking. Do we have a -- if you have the ballpark, I'd really appreciate that, when you close, what your target core Tier 1 position will be?
Chadwick Westlake: Well, I'd say just plan for a strong consistency right now, Gabriel. It will be -- we expect second half of next year, but we have strong capital ratios, and that will continue, especially the focus on 15%-plus total capital and strong CET1.
Operator: And the next question comes from Mike Rizvanovic with Scotiabank.
Mehmed Rizvanovic: I want to start with Marlene, just on your reserves. So the 41 basis points, how should we look at the 41? Like it's been built up pretty substantially here the last couple of quarters. And we tend to hear a similar narrative on your confidence in being well reserved. So is the 41 a new normal? It seems like there might have been a bit of a step change here in terms of where you want to sit. Or is it just a function of GILs being elevated for now? And as they come down -- what I'm trying to get at ultimately is as PCLs come in on the impaired side, do you offset that with some reserve releases and get that coverage ratio back down over time? Or is it a new level? I'm just trying to decipher if that's the case.
Marlene Lenarduzzi: Yes. Thanks, Mike. I would say that when we look at this quarter, you saw that we have -- based on our forward-looking indicators, we have an increase in our performing provision. And that was driven because of the outlook on the macroeconomic factors, which show unemployment rising to 7.3%, shows GDP contracting even to small degree and staying relatively low and close to 0 for the rest of the year. And so with that in mind, and not expecting the outlook in Q1 and those forward-looking indicators to deteriorate materially more than that, we shouldn't expect another large growth in that -- or a large performing provision in Q1. Does that help answer your question?
Mehmed Rizvanovic: Yes. And then just as far as the actual coverage ratio, so that 41 basis points, is that somewhere where you're comfortable sitting at? Or can you see that coming back down in a more positive credit environment, I guess, is what I'm getting at.
Marlene Lenarduzzi: Yes. If the credit environment improves, for sure, we would see that coverage -- that 41 basis points come down.
Mehmed Rizvanovic: Okay. That's helpful. And then, Chadwick, just a quick one on the PC Financial. Just curious on -- and thanks for the P&L that was provided, the high-level P&L on that business that's being acquired. In terms of -- it looks like about a 4% loss ratio on that portfolio, and that's trailing 12 months. And I'm wondering if you have any -- anything you can offer in terms of like what's the parameter there? Like is that 4% current in terms of the macro outlook being a little bit uncertain? Is it a little bit elevated? Like what is it normally at. I don't have color on if that 4% is a bit high right now or if it's right where it should be as a run rate. And then like where does that tend to go when things get really concerning on the consumer side in terms of risk?
Chadwick Westlake: Yes. Thanks, Mike. So I would say it's -- it does reflect the current environment. The normal level would be more in the -- even last year more in that 4.6% range. Trailing 12 months was about 4.2%. I would say -- you asked me this question last time, I'll say again, these -- is there a different type of borrower, right? Is that higher FICO Score, credit score than the Canadian average, high household income, high digital enablement, attractive customer base and over -- well over 80% are prime and super prime. So it is a different quality and well below their loss rate thresholds. So does it reflect in our models, the current credit environment? Yes. And I think you could see this continued trend level. But in our models, do we model it for different scenarios? Absolutely. And it still makes a lot of accretive sense either way.
Mehmed Rizvanovic: And then just out of curiosity, are you able to give us a sense of the capital that backs that business just in terms of dollar terms? I'm just trying to get a sense of the ROE of that acquired business. I'm not sure if you're able to provide that right now, but thought I'd ask.
Chadwick Westlake: I'd say it's a different way. There's a high CET1 capital position in that, but that's not really the way to think about the business. The way to think about the business is how we're going to close it. And that's where we pegged it at, at 13% at closing. And that's why you're going to see this hurdle really well from a base case and then with even the modest synergies, let alone all the upside from there.
Mehmed Rizvanovic: So fair to say that it's a very, very good ROE business in relation to the lending business.
Chadwick Westlake: Yes, sir. It is.
Operator: And the next question comes from Darko Mihelic with RBC Capital Markets.
Darko Mihelic: My questions are for Marlene. The first one is with respect to the residential mortgage impairments. I was just curious if you can talk a little bit about the nature of these formations. In other words, what I'm trying to better understand is, is the primary reason for the formation job loss, or is it simply the weight of the mortgage payment and the over indebtedness of the consumer that eventually has them fall behind and go impaired? And as a follow-on on to that, as we look forward into 2026, is the vast majority of the renewals that are occurring, will they be at a higher payment or a lower payment in 2026?
Marlene Lenarduzzi: Okay. Those are great questions, Darko. Thank you. I would say a couple of things. One, when we look at the formations and the reason codes, if you will, for customers who are going to default, it's a bit of a mixed bag. Some of it is related to job loss, some of it is just customers we're holding on for a long time and having a harder time as the macroeconomic environment shifts. As you probably are aware, about 66% of our customers are self-employed. So as there's less activity in the macroeconomic environment, GDP slows, their businesses are impacting and -- are impacted, rather, and we see that happening. In terms of like industry segments, these are industry segments that we see across the portfolios. Construction is impacted. Those working in transportation are other areas that are impacted. And then in terms of other segments, we talked about the -- what was the second part of your question? Can you repeat that, Darko?
Darko Mihelic: The potential payment shock on renewals in '26, or relief.
Marlene Lenarduzzi: Yes. I've got that. So in terms of renewal, the segment that -- this more vulnerable segment that we've been talking about, the sort of GTA suburb, as you can imagine, the renewal rates have been higher. But that portfolio has actually come down about 26% year-over-year. And in terms of renewal rates, they are renewing into lower rates for the most part, because, you recall, our duration is quite short. And so our customers who were originated in 2022 at those very low rates did -- have already renewed into higher rates and actually have started to renew -- they've renewed into the lower rate and some of them have renewed again into lower rates. So duration is like 1 to 2 years generally.
Darko Mihelic: And sorry, is it meaningfully lower or just modestly lower in terms of [indiscernible]?
Marlene Lenarduzzi: It's meaningfully lower. Yes. The payments would be meaningfully lower.
Darko Mihelic: Okay. And then a follow-on question in -- maybe, I mean sort of -- I just want to make sure that I'm interpreting your remarks. With respect to the forward outlook, I recall last year thinking about a range of 12 basis points or so for losses overall. Are you willing to talk about sort of what's the range for '26?
Marlene Lenarduzzi: Not at this time, Darko.
Darko Mihelic: Okay. And then my last question is in relation to the transaction, and again, it's aimed at you, Marlene. Does this in any way, assuming the transaction closes as per plan, does this in any way slow down your ARB approval work? Or would that just continue on and you would separately look to eventually get the P&C moved over to ARB more futuristically? I'm just curious if there's any impact at all on your work there.
Marlene Lenarduzzi: No, it hasn't. We actually are fully committed to our ARB strategy, and we are moving ahead with our plans on the existing portfolio. And then we will assess the PC Financial portfolio and likely make plans for that moving into ARB remaining standardized. And I would expect it would, based on the outcome of that analysis, then we'll decide.
Chadwick Westlake: Darko, what I'd say as well on the question, so our capital allocation and our development plans here continue. We've been working on that for a long period of time. It is important. But also look at the regulatory environment and our regulators have been very open about ARB support or they could also still end up being an ARB late or further changes in risk floors. We don't know yet, but I think we certainly got the sentiment that there will be progress here that will be supportive to greater competition and ensuring we can get investment back into businesses and to consumers.
Operator: And the next question comes from Etienne Ricard with BMO Capital Markets.
Etienne Ricard: So credit cards will become a new product at EQB. How would you contrast the long-term growth potential of the card portfolio relative to mortgages? The reason I'm asking is I tend to think of EQB's long-term loan growth track record to be in the low double digits for mortgages. And I think we're all aware of the industry tailwinds in that space with the shift to mortgage brokers and the growing size of the alternative market. Now credit card appears more GDP-driven. Would you agree with this statement?
Chadwick Westlake: I think a couple of things to think about. So we'll -- after we close, we'll share more -- a better outlook for the business. But what I would say is don't just think about this as a credit card. I think about this very much as payment solutions for Canadians and a truly valuable, in many cases, low fee, no fee card and payment solution for Canadians. And importantly, backed by the power of the PC Optimum program with those 17 million members that is the best in this country, and it brings so many options for Canadians. So they are going to want to grow. We are going to grow cards and customers because of the payments with the loyalty, because it adds more value for people in this country. So there's a huge upside potential there for us, and that includes with existing EQ customers where there's going to be a benefit here, plus we can do more for PCF customers as well as they come into our ecosystem. It's a win-win on both sides. But I see payment as growing as a fundamental need for Canadians. And these are -- this is going to give us the tools to grow that either way. And that will then drive revenue, of course too, when you think of the noninterest revenue. This is not just about [ NII ] or cards. This gives it all, backed by PC Optimum. And we have the exclusive position with that PC Optimum. So it's really important, I think, to keep that as front of mind.
Etienne Ricard: And does the transaction impact your capital allocation policies, whether that's share buybacks heading into closing or maybe the dividend payout looking longer term?
Chadwick Westlake: No. And as you heard Anilisa say, we have a buyback plan and intent for 2026, and we have a great, strong capital position, and that will all continue.
Operator: And the next question comes from Graham Ryding with TD Securities.
Graham Ryding: Maybe I could just follow up on that theme, Chadwick. Can you just explain, if you're offering as an exclusive financial partner here with PC Optimum, you're going to be offering loyalty points to your EQB customers, I assume, outside of just the credit card. How should we think about the economics there? Will this be a cost to you that you offset with greater deposit growth and ultimately lower NIM? But is there also a benefit here from higher interchange payment fees that ultimately help pay for these loyalty costs?
Chadwick Westlake: Yes. I think it's a combination of the factors. So there'll be higher cash rewards. There will definitely be a higher growth in our funding capabilities. Obviously, we'll have higher interchange over time. But this will become part of the value proposition overall, where if we have PC Optimum and our existing customers can use it, that will encourage them to want to deepen their relationships and do more business with us. That's really the underlying factor. I think we -- if you think of the full shelf, we have the notice savings accounts, excellent FX transfer, U.S. dollar accounts, registered accounts, excellent payroll accounts. Everything will come into that platform and then we can cross-sell more from there that will drive positive economics.
Graham Ryding: Okay. So ultimately, greater penetration on the deposit side, which helps your NIM? But also on the revenue side around the interchange fees.
Chadwick Westlake: That's correct.
Graham Ryding: That's how you offset the loyalty costs. Okay. And then my second question is just when you think about the sort of cross-sell opportunities here, selling that PC MasterCard into your existing 600,000 EQ Bank customers, is that potentially an easier synergy to execute on versus increasing that EQ Bank customer base through either leveraging PC loyalty program or just the distribution infrastructure that PC Financial has? How do you think those sort of different synergy opportunities?
Chadwick Westlake: Well, both. I think as a customer, you're going to love it when you have the PC Optimum loaded into the EQ account. You're going to see the integration, that you're going to have all that and the platform to drive the growth. So it is both of what you said. And what I want to say again, it's -- when -- it's a little early for us to give all the details, there's going to be more to come as we get closer to close. This is an excellent deal for our shareholders, for customers, for employees. There's hurdles at the 15%-plus ROE with very, very modest savings. All of what you're talking about there is the full potential upside still for us and our franchise. And really, this is about Canadians first and the product shelf and the value that everyday Canadians have. And this is going to complete that in a very significant way. So it's Canadians first. And by doing that, we're going to do really well for our shareholders here and a lot more upside to come as we get closer to close on this.
Graham Ryding: Okay. And just my last question, you gave us some guidance on loan under management, I think, mid to high single digits growth. Sorry, high single to low double digit. What is your growth expectation for on-balance sheet loan growth for next year?
Anilisa Sainani: Yes. Happy to take that one. Obviously, as we look ahead to 2026, we see the green shoots for economic recovery and growth. From a LUM perspective, as we said, high single digit to low double digits range for 2026, so very consistent with what we've delivered this year, though skewed to the latter half of the year. On the personal SFR side, so that's all on balance sheet, we see an improved rate environment not relying on future cuts, but the cuts that came through certainly in the last quarter, combined with pent-up housing demand to be quite strong. De-cumulation, we see to be strong momentum as we see Canadians wanting to age in place and executing their estate planning. And so overall, we expect kind of medium single-digit growth in that portfolio. As a reminder, I would just call out, we are continuing to intentionally and strategically pull back from the insured single-family residential. So there is declines in that portfolio that offset some of the growth that we're seeing in the uninsured piece. And that's, again, as we balance total risk-adjusted returns. In commercial, we see market demand for multifamily residential that's expected to continue to grow. There continues to be a need for affordable housing, and the rate environment plays through there as well. And I know you're focused on the on-balance sheet, but just one final point on the off-balance sheet. We have the -- in the Federal budget, we were really pleased to see the expansion of the CMB pool limits, and we stand to benefit from that as we do have a market-leading securitization provision. And so that allows us to kind of lean in into even more capacity on that side. We expect, roughly speaking, mid-single-digit million growth there.
Operator: And the next question comes from Doug Young with Desjardins.
Doug Young: Chadwick, I guess, both of these are probably for you. But on the wealth priority side, you talked about it in your prepared remarks. And that's not new. I think you talked about it before, wanting to build some form of wealth platform. I assume this is not organic, that you would do this in an inorganic manner. Can you do something else before you close PC and before you integrate PC? And can you maybe just remind us what it is that you're interested in as you talk [indiscernible]?
Chadwick Westlake: First, I'm going to repeat again though that, obviously, for sure, we've highlighted that wealth represents an important strategic gap we're looking to close over time. I don't think it's appropriate for me to speculate on M&A, but I would say it's -- there's different pros and cons to building versus buying in the wealth space. And our current focus though will remain on the successful integration of PCF first. And then it's the remaining ingredient is wealth. The simplest way I can say is for a complete successful Challenger, you need the best day-to-day offering, the best payments offering and now we're getting loyalty, we have that, we'll have a direct reach to millions of customers. And then what could be most constructive within the EQ Bank offering is a higher-yielding offering integrated into the digital lineup, that really gives Canadians more choice for to put their money outside of, say, higher interest savings accounts and GICs and more. So a real long-term perspective on how to generate more yield integrated into the lineup is one of the ways to think about it. And then outside of that, when you step back and think of EQB, remember, we have an excellent alternative asset management company called ACM Advisors. We have one of the top trust companies in Canada that's performing really well. So we have various ingredients. But we'll bring that concerted focus back to EQ Bank and that integrated wealth offering to give more choice to customers all within the platform.
Doug Young: I assume this is more distribution than manufacturing.
Chadwick Westlake: Yes, distribution -- so it is distribution. We represent distribution as well now. So there is -- we need the product and the solution on our distribution shelf, is one way to think about it as well. But it is more anchored in our expertise in distribution, but bringing the product into the shelf is really important.
Doug Young: Okay. And then you can correct me if I'm wrong, second question here, I think you talked at the potential ROE approaching 12% by the end of fiscal '26. And when I kind of look at the math, it's hard to get there unless you have a material improvement in the PCL versus what we saw. And I'm talking like a PCL half of what we saw in Q4. And so I'm just trying to get a sense, is that -- am I reading that right? Did you talk about 12% by the end of the year? Like what would be some of the drivers to get there? And is it mostly PCLs? Obviously, expense growth, kind of deposit operating leverage would be key. Just trying to kind of understand a little bit more about that.
Chadwick Westlake: Yes, I'd say a couple of things. So what I did say is 12%, but I said higher than that by later next year. And step one is the expense side that analysts have spoken about that we've delivered on. We can control the cost. You haven't even seen that benefit roll through yet. That will start rolling through in Q1. And that's the most significant component of it. And we're planning and ready, if it is a slower market, if it is a lower revenue market, then we get along there just with the expense side. And then as the revenue environment picks up, that will improve, especially with the net interest margin discipline that we brought in and how we brought more expansion back to that. And then your other ingredient is PCL, as you said, and we -- you heard Marlene's sentiment on that. Again, we do think we're at a position of strength and there's a lot of factors to consider, but we would expect that improvement later next year. So when you add all those up, plus then you think about your denominator, right, and what we're doing with capital and our intent to continue with buybacks to further accrete ROE and really put the capital to work, all those ingredients combined, I think you see -- we would expect, in our base case, you see that higher by later next year and then moving towards our medium-term objectives into the following year at pace.
Operator: And the last question comes from Stephen Boland with Raymond James.
Stephen Boland: Just one question. When you talk about pulling back on the insured single family, I always thought that was a tool you use to basically retain the customer and maintain broker relationships as well. Like you go into a broker and they have prime and you can insure it, but they also have alternate traditional single family and you underwrite all of them. So has that changed? Has the consumer behavior changed or a change in thought? I'm just curious about that.
Chadwick Westlake: Yes. Thanks. So pull back, sure, we're -- our focus is growing the uninsured. Our focus is supporting the mortgage brokers. The mortgage brokers, we always still say are the best ways to get a mortgage in Canada. They are vital partners and we're going to support them and serve them really well. And first priority is the uninsured. And in some cases, yes, you have some insured. But insured is a thinner margin. It's very competitive, and we want to focus our capitals as well where we can win. We're doing really well for Canadians. So it's a bit of a combination. We pull back more. It's not a new thing. It actually goes back probably a year or 2. So you'll still see some, but it hasn't been a priority. And I think that's often why our asset growth is misperceived. People just look at OSFI data and say assets are down. Well, it's because we deprioritized lower profitability. We're not chasing volume. We're putting on thoughtful, profitable growth, underpinned by Canadians needs first. So that's what we're doing here as we go forward.
Stephen Boland: And how has the broker reaction been to that, that you would do those types of loans and then you're kind of saying, no, we don't really want to do it anymore?
Chadwick Westlake: It's not new news. This is longstanding. I think you're just seeing some of that play out, this was, call it, over a year ago. I'd say our partnerships with brokers, our strength -- the strength of our relationship with brokers has never been stronger. They fully understand our model and where we can best serve them. So I'd say it's very positive, Stephen.
Operator: Thank you. And that concludes our question-and-answer session. I would like to turn it back to Chadwick Westlake for closing remarks.
Chadwick Westlake: Thank you, everyone, for joining us today. We'd like to thank everyone for their continued support and wish everyone a safe and joyous holiday season. Anilisa, Lemar and I look forward to seeing some of you early in the new year at the RBC Capital Markets Bank CEO Conference on January 6. Thanks very much. Have a great day.
Operator: And this concludes today's conference call. Thank you all for joining. You may now disconnect.